Operator: Good day everyone, and welcome to the Kaiser Aluminum Second Quarter 2010 Earnings Release Conference Call. Today's call is being recorded. For opening remarks and introductions, I’d like to turn the conference over to Melinda Ellsworth.
Melinda Ellsworth: Thank you. Good afternoon everyone, and welcome to Kaiser Aluminum's second quarter 2010 earnings conference call. If you have not seen a copy of our earnings release, please visit the ‘Investor Relations’ page on our website at www.kaiseraluminum.com. We have also posted a PDF version of the slide presentation for this call. Joining me today are President, CEO and Chairman, Jack Hockema; Senior Vice President and Chief Financial Officer, Dan Rinkenberger; and Vice President and Chief Accounting Officer, Neal West. Jack and Dan will review the results and at the conclusion of our presentation, we will open the call for question. Before we begin, I'd like to remind the audience that the information contained in this presentation includes statements based on management's current expectations, estimates and projections that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the company's anticipated financial and operating performance, relate to future events and expectations, and involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to the company's earnings release for the second quarter of 2010 and reports filed with the Securities and Exchange Commission, including the company's form 10-K for the full-year ended December 31, 2009 and current report on Form 10-Q for the quarter ended March 31, 2010. All information in this presentation is as of the date of the presentation. The company undertakes no duty to update any forward-looking statement to conform the statement to actual results or changes in the company's expectations. Non-run-items to us are items that while they may recur from period-to-period, are particularly material to results, impact costs as a result of external market factors and may not recur in future periods of the same level of underlying performance were to occur. These are certainly part of our business and operating environment, but are worthy of being highlighted to the benefit of the users of our financial statements. Management's intent is to significantly neutralize the Fabricated Product segment for fluctuations in underlying metal prices. We characterize metal profits and LIFO charges as non-run rate items that eventually offset to a great extent over the course of the full year. Further, presentations including such terms as net income, operating income, before run rate or after adjustments or earnings before interest, tax, depreciation and amortization, are not intended to be and should not be relied on in lieu of the comparable caption under Generally Accepted Accounting Principles to which it is reconciled. Such presentations are solely intended to provide greater clarity of the impact those certain material items on the GAAP measure, and are not intended to imply such items should be excluded. I would now like to turn the call over to Jack Hockema. Jack.
Jack Hockema: Thanks, Melinda and good afternoon everyone. Thank you for joining us for a second quarter 2010 earnings call. I pleased to report that this quarter was the best we've had since the economic downturn began two years ago. Our second quarter was also reflected $35 million of adjusted operating income for fabricated products, an increase of 30% sequentially and 75% compared to the prior year quarter. The increase was driven by higher value added revenue, which increased 8% sequentially on stronger than expected shipments for aerospace and high strength applications, and by continued improvement in our manufacturing cost performance. Consistent with our previous updates, we continue to move forward with the startup of our new extrusion plant in Kalamazoo and the facility remains on schedule to be fully operational late this year. Dan will now provide highlights regarding the second quarter results. Dan.
Dan Rinkenberger: Thanks, Jack. I’ll review the quarter's consolidated financial highlights on slide seven. The second quarter continued a trend of improving underlying results. Consolidated operating income before non-run rate items increased sequentially to $26 million, that's a 62% increase compared to the first quarter. Higher value added revenue continued improvement in manufacturing cost efficiencies in our fabricated product segment and lower corporate expenses drove the favorable results for the quarter. Reported consolidated operating income in the second quarter was negatively impacted by $22 million of non-run rate items, including a $19 million non-cash mark-to-market loss in Aluminum hedging positions due to a decline in metal prices from March 31 to June 30. As a result of these large non-run rate items, reported net income for the second quarter was approximately $100,000 or $0.01 of earnings per fully diluted share. Net income, excluding non-run rate items was $13.5 million or $0.71 per fully diluted share. Net income in the second quarter also reflected the first full quarter of interest expense on a convertible notes. Interest expense includes both the cash component, and a non-cash amortization of the discount booked upon the issuance of the notes in late March. Our effective tax rate for the second quarter was higher than usual, reflecting tax provisions that were not effected by our low pre-tax income. However, we anticipate our effective tax rate for the full year will be in the low 40% range. More importantly, cash taxes will continue to be in the mid single digit percentages, reflecting our usage of net operating loss carry forwards and other tax attributes which apply mainly to pre-tax US income. Slide 8, focuses on our fabricated products results. As Jack mentioned in his earlier remarks, our fabricated product segment reported the best quarterly results in two years. Operating income excluding non-run rate items increased sequentially to $35 million, reflecting a 30% increase compared to the first quarter, driven by higher value added revenue and continued cost improvement from ongoing manufacturing efficiencies. The increase in the first quarter in value added revenue was primarily related to stronger shipments and a richer overall product mix. In July, we completed the sale of our Greenwood, South Carolina forging facility to a strategic buyer (inaudible) industries. Fabricator Products recorded a second quarter impairment charge related to these assets of approximately $2 million which we reflect as a non-run rate item. We don't anticipate the sale agreement will have any material impact on our ongoing fabricator products business, proceeds from the sale totaled approximately $5 million. Slide 9 provides a summary of the quarterly sales analysis by end market application. Fabricator Products, value added revenue improved approximately $11 million sequentially on stronger than expected aerospace and high strength shipments. This increase was partially explained by orders placed with us due to uncertainty surrounding expiring labor agreements at competitor plans. General engineering shipments for the second quarter declined 7% sequentially. We saw unusually large shipments in March followed by weaker April shipments indicating that the quarter decline was largely due to timing of deliveries rather than a change in demand or inventory stocking activity among our customers. Our richer overall sales mix with higher aerospace and high strength shipments and lower general engineering shipments drove improvements in the average value added revenue per pound. And now I’ll turn the call back over to Jack to discuss the outlook for our end markets and opportunities for Kaiser.
Jack Hockema: Thanks Dan. Slide 11 re-irritates our positive long term view for commercial aerospace as the industry news from the recent Farnborough air show reinforced our very positive outlook. Boeing and Airbus have both announced planes to increase build rates and both have indicated the they do not expect to redesign single aisle airframe until the mid 20-20’s. Airline monitor has incorporated this information in to an updated forecast that anticipates industry record aircraft builds through out the remainder of the decade. These developments enhance are already bullish out long term outlook, for aerospace applications. Slide 12 illustrates recent trends for Kaiser Shipments and value added revenue for aerospace in high strength application. While the long term demand outlook is very strong and the short term demand is affected by de-stocking as the large airframe manufacturing work through their inventory overhand. We expect that de-stocking by airframe manufactures will began to abate in 2011 as build rates ramp up. In the very near term our outlook for third quarter shipments and value added revenue for these applications is similar to the first half phase. Slide 13 addresses our outlook for general engineering and automotive applications. Service inventories for general engineering products have stabilized and are at historical low levels. While there is some evidence of modest restocking by service centers, we don’t anticipate meeting for re-stocking until real demand begins to re-bound and service centers become more confident in the sustainability of demand. In the third quarter, we expect market dynamics similar to the first half, but we anticipate that normal seasonal weakness will curtail volume. Seasonality for these applications typically reduces third quarter shipments approximately 10%, compared to the first half run rate. Slide 14 profiles on an improving EBITDA and value added revenue trends for the past five quarter. As mentioned on the preceding slides we expect that market dynamics will be similar to the first half, but the third quarter volume and value added revenue for general engineering and automotive applications will reflect normal seasonal weakness compared to the first half run rate. We also anticipate major maintenance cost approximately $4 million higher than during the quarter than the average quarterly rate during the first six months of this year. While we get to see evidence of our robust economic recover, we are very optimistic about the company’s near term and long term prospects. The long term fundamentals for aerospace applications are excellent and the four benefit from our Trentwood expansion has yet to be realized. Our new Kalamazoo Facility is an importance next step in advancing our competitive cost position and it will provide capacity and cost efficient sourcing for expected sales growth related to growing use of aluminum extrusions in automotive applications. We’ve also made significant investments at several other fabricated products facility and these investments will provide earnings leverage as the economy recovers and the aerospace and automotive markets grow. These investments have further strengthened our platform for growth and we anticipate additional organic and acquisition investment opportunities in the future. With attractive markets and a strong financial and competitive profile Kaiser is well positioned for profitable long term growth. We will now open the call for questions.
Operator: (Operator Instructions). We’ll go first with Timna Tanners with UBS.
Timna Tanners - UBS: You guys have were on through some of that a little bit faster, I apologize if I asked something that you have just explained. But I was kind intrigued by the comments about some of the benefit in the second quarter as a function of some of your peers that may have had labor payments expiring. Can you try to describe that a little more maybe quantify it if possible.
Jack Hockema: Yeah Timna the order of magnitude we estimated was maybe 1 million to 2 million Pounds and its not unusual frankly in this case there were two major plate mills that were in negotiations that had simultaneous contract expirations and so whenever there is a situation like that it is not unusual for some customers to put some contingency orders on others mills like ours, where our labor agreement was settled earlier in the year. And we are working on a five year labor agreement.
Timna Tanners - UBS: I thought I saw that at least one of those resolved I mean, how do we think about that going forward, that’s not repeatable or is that one time?
Jack Hockema: No, I think they have both been resolved.
Timna Tanners - UBS: And so I know that you have been talking about some concern at de-stocking with minimized or reduce your value added revenue. But then you did have really strong value added performance, so can you just describe a little bit more what happened maybe in the quarter to support that?
Jack Hockema: Well if you look at the value added revenue propound by application it was pretty consistent aerospace and high strength the [Buck 87 a pound] was very consistent with where we have been for the prior two quarters and the $0.83 in the general engineering and automotive while its higher than the first quarter its on track with where we have been running in the second half of the last year, most of that is mixed related we had a high (inaudible) shipments in the first quarter compared to the second quarter and so that was pretty much mix related. So really the value added revenue is very much a reflection of product mix here for the past few quarters.
Timna Tanners - UBS: Okay, and that’s sustainable then with the exception of kind of a seasonal impact that you might have described?
Jack Hockema: Yes, again I think the best way to look at it is in those two buckets that we provide, we think that aerospace and high strength has settled in and there is a $1.87 plus or minus range and the general engineering and automotive applications have settled in the low 80s there it could bounce around a little bit with mix, but its pretty stable right now. No, it has been stable for several quarters here.
Timna Tanners - UBS: And then final one from me was just to get updated thought process maybe if you could on uses of cash given the cash rates that you had and how you are thinking about things?
Jack Hockema: Well, it’s similar to what we have said all along that our priorities first are good investments organic investments and then complementary acquisitions and then beyond that if we have excess cash beyond what we think is investible obviously we are paying a regular dividend but we would look at additional dividends and or stock repurchases to utilize any excess cash, but at this point we remain optimistic that we are going to have continuation of good internal investment opportunities, we think we’ll be in the $30 million plus or minus range plus or minus 10 on average as we go forward in terms of investments not the $60 million pace that we’ve been on and we think we continue to be optimistic that we’ll have some good complimentary Bolton type acquisition as we go forward.
Timna Tanners - UBS: Okay, that’s CapEx you are talking about with the $30 million plus or minus 10 million?
Jack Hockema: Yes exactly
Operator: (Operators Instructions). We’ll go next to Mark Parr with KeyBanc Capital Markets.
Mark Parr - KeyBanc Capital Markets: I was wondering if you could give a little more color on the cost improvement that you realized in the second quarter and how we should look at cost programs over the back half of ‘10 and how we ought to think about cost is Kalamazoo and some of the other investments are fully commissioned heading into ’11, if you could quantify any of that it would be really helpful.
Jack Hockema: From a cost performance stand point we’ve had good steady improvement over the last three or four quarters although the second quarter just from a raw efficiency standpoint was relatively consistent it was a little bit better than the first quarter, but pretty much consistent with the first quarter, but if you go back in time and Mark I can’t remember how closely you were tracking those, but 2007 was a really good year for us it was record cost performance and it was the cap on about seven or eight years of very consistent cost performance improvement and then 2008 the wheels kind of came off as we were doing the Phase III at Trentwood and we were redline in several other plants and had some major investments in several plants and we reported in '08 that our cost performance actually tailed off $25 million order of a magnitude from 2007, and then as we went into 2009 especially in the first half of the year we had a lot of inefficiencies to ramping our cost down to the new cost level, and then pretty much stabilized and started to improve, starting the quarter of last year. The first half of this year we are performing back out of the rate similar to where we were back in 2007, so we are back to that record cost performance and that’s despite some cost inefficiency related to the start up at Kalamazoo. So, we are very encouraged with where we are now, if we took Kalamazoo out, we'd be running better than where we were in that record performance back in 2007 even at this very low level, comparatively low level of activity. As we go forward and let me just put a point on Kalamazoo, the second quarter at Kalamazoo, the startup drag was about the same as the first quarter. So, we have got a pretty consistent baseline here in the first half of the year. We think we'll start to see a little bit of improvement as we move into the second half, the third quarter is still as pretty much a wild card because we are still in the wild west in terms of the startup phase, but by the fourth quarter it should really start to settle down and then as we get into next year, we expect we'll see real benefits from Kalamazoo, and we have said order of magnitude that at normal volume level that Kalamazoos were at low to mid 20s and most of that’s cost reduction, all of is cost reduction versus our own value strengths, maybe not that much compared to some of the value strengths we are using now, but we’d expect to see some real cost improvement in the team certainly next year, compared to this year just as Kalamazoo starts to kick in.
Mark Parr - KeyBanc Capital Markets: Yeah now that’s helpful. Thanks very much for that color and I guess again regarding the third quarter I mean it sounds as if you got a little bit of an extra bump in value end revenue on a (inaudible) space in the second quarter, because of these labor perception of potential labor disruptions and so that’s something that would create perhaps a bit of downdraft in the second half on aerospace and you are giving a normal seasonal situation in the general engineering and automotive side. Is that fair I mean I look for some sequential reduction in both of those areas in the third quarter?
Jack Hockema: I’d rather look at it because quarters, there is still a lot of volatility in our business in just three month buckets I’d rather look at it as six months buckets and if you look at it that way we think aerospace is going to be very similar to that first half pace the 40 million pound plus or minus in terms of shipments with similar value added revenue per pound and then the general engineering were rented to 71 million pounds shipments pace in the first half of the year and we said I mean its hard to predict what seasonality is going to be although July was pretty weak, so we think we are going to see normal seasonality which as we said is order of magnitude typically 10% plus or minus of few points. So we are probably looking in mid 60s plus or minus in terms of shipments from an aerospace or an automotive in general engineering standpoint
Operator: (Operator Instructions).We’ll go next to Tim Hayes with Davenport & Company
Tim Hayes - Davenport & Company: First question on the general engineering, just want to see what within that category is doing well and what's may be not doing quite as well, was little surprised that the volumes ticked down from Q1, (inaudible) our still we are doing a lot better, sort can you give some call on the end marks that are driving that quite sequential decline?
Jack Hockema: Sure, I would be happy to the general engineering had those very little to know influence from truck and truck trailers it’s really virtually all service center business and is driven by the general industrial economy. In the first quarter, we had unusually high shipments of rod and bar was really a strong first quarter and if you go back to our comments in the quarter, I did comment on the last call that we were a little concerned about the second quarter because our March shipments had been so heavy, we were a little concerned that the first quarter may have stolen some shipments from the second quarter and in fact that’s what happened. So, it’s not really related to true demand, its more just shift in product shipments a matter of a few weeks probably from April back in to March. Some of that was probably related to the rising aluminum prices and we probably had some customers to pull the head orders to try to take advantage of lower metal prices in the first quarter, compared to what we were are developing in the early second quarter. So that’s all along explanation of saying that we really didn’t see much change in real market dynamics from the first quarter to the second quarter its more a matter of the timing of these shipments right at the end of the quarter into the first and beginning of the second, rather than any real change in market dynamics, if that answers it for you Tim.
Tim Hayes - Davenport & Company: That helps, certainly the [talking factor] that’s been in all other category then?
Jack Hockema: Yeah that’s in the all other and we really de-emphasized those products in our mix, so there is tiny sliver of what we today.
Tim Hayes - Davenport & Company: And then finally back on the (inaudible) plate for aerospace, if you were to exclude the 1 to 2 million pound benefit you got probably the competitors having some issues there if exclude that amount. Are you mostly still at minimums with customers that had contracts or are you starting to come off those minimums as the build rates have been put forward by the delays in Boeing and Airbus?
Jack Hockema: Well I would say, we’re at minimums, but we are what we think is the low point not necessarily right now, but I think we hit the low point from a airplane manufacturer, the big OEM’s is going to be the low point this year. We are very optimistic that we are going to see de-stocking begin to recede and abate as we move in 2011 and a recorder we become increasingly bullish about the outlook for 2012, but I think its still difficult to predict what 2011 looks like, but we are just beginning to put together our updated five year forecast and we are in the second or third iteration and every call I get from the marketing people is even more bullish about 2012. So 2011 is still volatile just because of the inventory uncertainty where confidence is going to be better than this year, but we think this thing is going to be roaring for us by 2012.
Tim Hayes - Davenport & Company: Okay and then final question on the sort of the emerging [billet] shortage just to refresh our memory. Do you cast all your bill at needs and then if so do you have any competitors that in certain niche extrusions that do not catch on billet that maybe you pick up a little share on the edge if they fall short of getting their billet supplies.
Jack Hockema: We do cast our own billet virtually all of our own billet, in fact all of our own billet and it’s a rare circumstance when we go outside in fact we bill at long and actually sell some billet on the open market. I am not aware about picking up any business because of billet shortages affecting our major competitors. They are big enough that I think they have got relationships with suppliers where they have been able to cover their needs. If they have it is nothing that’s reached up to me saying that there was any benefit to us of this tight billet supply in the market place.
Operator: (Operator Instructions). We will go next to (inaudible) with Franklin Templeton.
Unidentified Analyst : I had a question about cash flow, looks like all your non-run rate items non-cash in nature, what I am trying to get out is what looks like a fairly strong sequential increase in earnings if did the math right you certainly didn’t have a sequential increase in cash flow, it looks like the cash flow is actually down in the quarter, even before working capital items it looks it was about flat.
Jack Hockema: Well most of our cash or non-run rate items are non-cash there is a few that are have a cash element to them, but they are very small and the biggest impact are the mark-to-market items which are all non-cash and in cash flow and through the quarter we do have the capital spending program it continues with Kalamazoo. So that would be a consumption of the cash. The ongoing things that we have the dividends interested the first time they actually had a cash payment on interest. So one of the things that’s really going to be impacting and is probably going to be a working capital.
Unidentified Analyst : Okay, yeah I was actually looking at it even before capital expenditures.
Jack Hockema: It is probably build in inventory that you’ll see when you look at the detail.
Operator: And with no other questions in queue, I’d like to turn the conference over to Jack Hockema for any additional or closing comments.
Jack Hockema: Okay, thanks Lorrie. Thanks for joining us on the call today; and we look forward to updating you again on our third quarter 2010 conference call in October. Thank you.
Operator: And that does conclude today’s conference call. Thank you for your participation.